Operator: Ladies and gentlemen, thank you for standing by. Welcome to Avery Dennison's Earnings Conference Call for the Second Quarter Ended July 2, 2016. This call is being recorded and will be available for replay from 10 AM Pacific Time today through midnight Pacific Time, July 30. To access the replay, please dial 800-633-8284 or 402-977-9140 for international callers. The conference ID number is 21782907. During the presentation, all participants will be in listen-only mode. Afterwards, we'll conduct a question-and-answer session. I would now like to turn the conference over to Cindy Guenther, Avery Dennison's Vice President of Finance and Investor Relations. Please go ahead, ma'am.
Cynthia S. Guenther - Vice President, Finance and Investor Relations: Thank you, Dimitra. Today, we'll discuss our preliminary unaudited second quarter results, the non-GAAP financial measures that we use, are defined, qualified, and reconciled with GAAP on schedules A-4 to A-8 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement included in today's earnings release. On the call today are Mitch Butier, President and Chief Executive Officer; and Anne Bramman, Senior Vice President and Chief Financial Officer. I'll now turn the call over to Mitch.
Mitchell R. Butier - President & Chief Operating Officer: Thanks, Cindy, and good day, everyone. I'm happy to report another quarter with strong growth in earnings and free cash flow. We beat our expectations for Q2 adjusted EPS by about a $0.05 driven by another exceptional quarter in PSM. We continue to drive above average growth in high-value product segment and improve our competitiveness and profitability across the entire portfolio. And we're making good progress with our business model transformation in RBIS. So starting with Pressure-sensitive Materials. As you know, our goal in PSM has been to create value by organically growing the top-line of this high-return business at 4% to 5%, while expanding operating margin. And I'm pleased to say that the team continues to deliver on both fronts. In the second quarter, we grew PSM sales by nearly 5% on an organic basis and expanded adjusted operating margins to a new high of 13.5%. Once again, the emerging markets were a key growth driver, up 10% in the quarter. From a product perspective, high-value Graphics and specialty Labels materials continue to grow at rates well above the segment average, while sales declined for Performance Tapes due largely to the loss of a specific customer application as we've discussed before. Overall, I'm very pleased with the progress in shifting PSM's portfolio mix towards these higher-value categories. We expect continued benefit over the long-term from our focus and investment in these areas, including acquisitions, exemplified by the Mactac deal that we announced in April. As for the base business within PSM, what we've often referred to as less differentiated products, we continue to deliver in the second quarter with solid top-line growth overall and margins expanding across the board. Speaking of which, overall profitability for PSM exceeded our expectations, reflecting leverage on strong volume growth, continued discipline with respect to pricing in the base business, and, of course, exceptional execution on the productivity front. Shifting now to Retail Branding and Information Solutions. Sales were up a little over 2% organically, driven by Radio Frequency Identification. I'm happy to report that RFID sales were up nearly 50% in Q2. The case for RFID is clear and we remain the go-to-supplier in the market. So, we expect this to continue to be a key growth driver for us going forward. Outside of RFID, top line growth was short of our target for the quarter amidst the challenging apparel market, in particular, continued challenges experienced by the department stores and inventory reductions associated with athletic goods store closures. That said, we are seeing signs of success from our multi-year transformation strategy, becoming faster, simpler, and more competitive, while driving margin expansion. Specifically, we saw solid volume gains in both the value and fast fashion segments of the market during Q2, and unit volume for the department stores were relatively stable, an improvement over recent trends. We are also on track to deliver planned restructuring savings from the transformation. With these actions we're taking to improve our competitiveness in the base business along with the lift from RFID, even in a relatively modest apparel retail market, I am confident we will achieve our 2018 margin target for RBIS. Now looking at Vancive Medical Technologies. While this business reported solid margin expansion in the quarter, we're not yet performing at the level we expect. We began taking actions mid-last year that are beginning to refill our product pipeline and have recently reestablished the organizational link between our Vancive and Performance Tapes business. Long-term, these actions, combined with strong growth from our new product platform, should enable us to deliver consistent organic growth and double-digit margins in this business. So, coming back to the total company view. In terms of our outlook for 2016, we have raised our adjusted EPS guidance by $0.05, reflecting the strong results we delivered in the second quarter. Even more important, we remain highly confident in our ability to consistently deliver exceptional value over the long run, based on the execution of our key strategies. First and foremost, being our focus on driving outsized growth in high-value segments, we will continue to invest disproportionately here, both organically and through bolt-on acquisitions. Over time, this will improve our portfolio mix and bolster our leadership in these key segments. Second, we are relentless in our pursuit of productivity improvement to enhance our competitiveness across all product categories and, of course, drive margin expansion. And third, we are maintaining our high degree of capital efficiency, while increasing investments to support profitable growth. And, of course, we will continue our disciplined approach to returning cash to shareholders. Now, I'll turn the call over to Anne.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Thanks, Mitch. I'll be providing a little more color on the quarter. In Q2, we delivered a 20% increase in adjusted earnings per share on 4% organic sales growth. Currency translation reduced reported sales by 1.7% in the second quarter with an approximately $0.03 impact to EPS. Adjusted operating margin in the second quarter improved 120 basis points to 10.7%, as the benefit of productivity initiatives and higher volume more than offset the net impact of price and raw material input costs and higher employee-related expenses. We realized about $21 million of incremental savings from restructuring charges, net of transition costs. The adjusted tax rate was 34%, consistent with the anticipated full-year tax rate in the low- to mid-30% range. Year-to-date, free cash flow was $152 million, an increase of $38 million compared to last year, reflecting the increase in earnings and timing of tax payments. During the first half of the year, we repurchased approximately 2.4 million shares, and paid $70 million in dividends. Net of dilution, we reduced our share count by 1.2 million, for a net cost of $119 million, bringing the total amount of cash returned to shareholders so far this year to roughly $190 million. Our balance sheet remains strong, and we have ample capacity to fund acquisitions as well as to continue returning cash to shareholders in a disciplined manner. Now, looking at the segment. Pressure-sensitive Materials sales were up approximately 5% on an organic basis. Emerging markets continued to be strong contributor to growth for this segment. With organic growth of 10%, emerging markets represented a majority of this segment's top-line growth in Q2, in line with the preceding quarter, and our long-term expectations. A key exception to the strong growth trend has been China, where sales were roughly flat in the quarter on an organic basis. In North America, sales declined modestly on an organic basis, while Western Europe remains solid, up mid-single-digits. As noted previously, we continue to see strong growth in many of PSM's high-value segments. Within Label and Packaging Materials, specialty film and papers products were up 10% on an organic basis. And Graphics grew high-single-digits. In contrast, sales of Performance Tapes were down mid-single-digits on an organic basis for the reasons we've discussed. PSM's adjusted operating margin of 13.5% was up 120 basis points over last year, as the benefits from productivity and higher volume more than offset higher employee-related costs and a net impact of price and raw material input costs. By the way, that net gap between deflation and pricing was a modest negative for the quarter. We wanted to highlight it given the change in direction from preceding quarters. Once again, the team delivered the majority of this quarter's margin improvement through ongoing productivity efforts, including product reengineering and restructuring. Now, shifting to Retail Branding and Information Solutions. RBIS sales grew 2% on an organic basis, driven by growth of Radio Frequency Identification products, which were up nearly 50% in the quarter. We now anticipate full-year sales for these products to be up more than 30% in 2016, recognizing that the comps get significantly more challenging in the second half. Adjusting for the impact of RFID, organic growth for core labels and tags was down low-single-digits, reflecting modest growth in volume, which was more than offset by the impact of strategic pricing actions that we began to take late last year. As you know, we began lowering our prices in some categories late in 2015 to become more competitive, so the sales growth comparisons become easier in the fourth quarter. From a regional perspective, we saw strong unit volume growth for core European retailers and brand owners. This reflects excellent progress in expanding our share among the fast fashion players. In contrast, unit volumes declined in the U.S., where we have a relatively high share position among department stores. Notwithstanding the modest volume growth in pricing adjustments we've made, adjusted operating margin for this segment improved by 30 basis points, reflecting the benefit of the restructuring and other cost reduction actions we've taken to transform our business model. We remain on track to achieve our margin target for this business by 2018. Turning now to our outlook for the balance of the year. We have raised the range of our guidance for adjusted earnings per share by $0.05 to $3.80 to $3.95. We outlined some of the key contributing factors to our EPS guidance on slide eight of our supplemental presentation materials. Highlighting the changes from our previous guidance, we now expect the currency translation will reduce net sales by approximately 2.5% and pre-tax earnings by roughly $18 million, or an estimated $0.13 per share, $0.02 worse than our April guidance. We have reduced the high end of our organic growth outlook and now expect full year sales to grow between 3% and 4% on an organic basis. We anticipate that the Mactac deal will close in August, resulting in roughly a point of incremental sales, with an immaterial impact to EPS this year, reflecting various transition costs. We have reduced our estimate for severance and other restructuring-related costs included in reported EPS by approximately $0.05. So just wrapping up, we're very pleased with the strategic and financial progress we made against our 2018 goals this past quarter. I'm confident we will continue to deliver exceptional value over the long term through superior execution of our strategies, including the disciplined allocation of capital. And now, we'll open the call up for your questions.
Operator: Thank you. Our first question comes from the line of Ghansham Panjabi with Robert W. Baird & Co. Please go ahead.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Good morning.
Mitchell R. Butier - President & Chief Operating Officer: Good morning, Ghansham.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Good morning.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): First off, on the PSM emerging market growth of 10%-plus. I know you called out China as being flat across the emerging markets, but what about some of the other regions on the emerging markets side, Brazil, Southeast Asia, et cetera, and then what was North America up during the quarter?
Mitchell R. Butier - President & Chief Operating Officer: Yeah, so just talking about the emerging markets, so China was relatively flat, as Anne commented on. Everything else up, pretty exceptional growth. If you look at Southeast Asia, that was very healthy double-digits as was India and Eastern Europe returned to good growth trajectory as well. Some of that we think is a little bit of pipeline fill within the quarter, but even if you back that out, returned to a healthy growth level. And, Latin America, we continue to see solid growth. A lot of that comes from pricing, as you know, but even on the volume front, we saw it return to growth, particularly in Brazil. Now, some of that has to do with the elections that come up that always have a benefit for us and not sure what the impact is specifically from the Olympics, but we assume that it had some positive lift as well. So, pretty broad-based on the emerging market exposure and you're seeing a little bit of shift. If you look at the last number of years, China was a lead driver of the emerging market growth and we're starting to see that our strategy of being a leader in all markets is paying off with China starts to slow down, the rest of the emerging markets is carrying the load, and then North America, which is down modestly.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Okay. Okay. Thanks for clarifying that. And then just generally on the RBIS outlook. I mean, obviously, apparel has been mixed in North America for a while now. I know you have some company-specific initiatives to gain share in the market, but are there any adjacent markets that you see opportunities and to sort of diversify away from retail apparel to some extent over time?
Mitchell R. Butier - President & Chief Operating Officer: I think there is two specific items, one is if you think about RFID, RFID is really an intelligent label and we are looking at how do we – the first place to adopt was within the apparel market and we were vertically integrated there, so we're looking at how we leverage our manufacturing prowess as a company at large and specifically the knowledge within RBIS and RFID to leverage that more broadly, which is something we think will be a key growth driver for us in the long-term. The other one, which doesn't reduce the exposure to apparel, but does create a growth driver for us, is the external embellishment. So, the heat transfer labels. This business, if you look 10 years ago, it was only about the heat transfer labels on the interior of the garment. We are going to the exterior garment where it's actually part of the branding that is displayed whether it'd be for brands or sports teams and so forth and that will continue to be a key growth driver for us as well.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Okay. And just one final question maybe for Anne on Mactac. Any other modeling parameters that you can share with us for 2016, assuming the model – the August close, I think you call out 1% sales contribution, but what about EBITDA? Thanks so much.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Yeah. So just consistent with what we said, the 1% for the full year impact and then EPS is, there is really no impact, given all the transition costs associated with, for the back half of the year.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: Our next question comes from the line of Adam Josephson with KeyBanc Capital Markets. Please go ahead.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Thanks. Good morning, everyone. And one question on – and one on margins, obviously PSM margins in the first half of 13.2% were well above your long-term target, the corporate margin of 10.2% in the first half was also above the high-end of your 2018 target. To the extent your margins are expanding on account of productivity efforts and volume growth, why would that not be sustainable, and what do you think sustainable margins are at this point and why?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Yeah. Thanks. So as we talked about, we are really pleased with where we are, and we're achieving new highs in this business. We talked about margin in Q1, we were seeing new highs then as well, and we were – we never want to cap this business. And so, we're cautious, but we never want to cap this business. We talked about was – in Q1, with my comments related relative to the average for the year. And so when you think about the second half of the year, we've talked about a couple of headwinds that we've got. First of all, the loss of a customer in the Performance Tapes business, which has impacted about a point for the full year, but really back half weighted. And the second thing is just normal seasonality of this business as well. And so, if you think about second half, it generally doesn't have the same profitability ratio that you would have with the first half of the business that you would see.
Mitchell R. Butier - President & Chief Operating Officer: Yeah, so overall...
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Do you still think, Anne – I'm sorry, go ahead.
Mitchell R. Butier - President & Chief Operating Officer: ...from my perspective, we've been consistent saying we're continuing to test new heights, and we're going to continue to do that. In this business, we've expanded operating margin by 300 basis points over the last three years. And so that's something we're going to continue to drive to, to see what the right balance is, from an EVA perspective of driving good organic profitable growth, having the right margin level, and capital efficiency, and we continue to test new highs, and clearly we don't feel limited by the targets we set long-term or anything else. So that's what we're going to continue doing and as Anne commented on.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Sure. Thanks, Mitch. Just two other ones; one on the organic sales growth guidance for the year, can you just talk about why you modestly took down the high-end of the range there?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Yeah. So, the high-end of the range, we said that earlier, part of that was assuming that you would have the sustained growth for the whole year. And as we talked about, we do have a point of headwind primarily in the back half for Performance Tapes, so the other piece to it is really on RBIS. So, in order to sustain the growth, we've already saw the growth rates coming down a little bit in Q2, and so we modified that. You would have to assume that you're back to full on growth rate and covering for that in the Q1 run rate.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Got it.
Mitchell R. Butier - President & Chief Operating Officer: And just looking at the second half, the organic growth rate of 4%, the first half was around 3.9%, so it's basically same. We'd overcome the challenges that Anne is saying, it's the high-end of our guidance, so we don't look it as lowering – we lowered the top end, but if we left it at 4.5%, it would imply that growth dramatically improves in the second half, which is not what we're predicting right now.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Sure. Sure. I hear you Mitch. And just last one on pension, if current interest rates were to hold through year-end, can you talk about what the impact might be on your discount rate, PBO, and pension expense for next year? And thanks very much.
Cynthia S. Guenther - Vice President, Finance and Investor Relations: Why don't I follow-up with you on that after the call, I'm frankly not as buttoned up – this is Cindy – on all of those answers, so follow up after the call.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Sure. Thank you.
Operator: Our next question comes from the line of Anthony Pettinari with Citigroup Global Markets, please go ahead.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Good morning. On the RBIS pricing actions, I was wondering if it's possible to say how long you expect those to be a headwind, do you lap that headwind at the end of the year or is it possible that pricing actions maybe move into 2017? And then, kind of relatedly, is it possible to quantify how much market share you've gained back since starting these actions or just qualitatively can you give us any color in terms of how you feel from a market share perspective?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, there is always pricing actions at various levels, but the specific actions we took late last year, we do cycle through beginning in the second half, so it blends in beginning in Q3 through the end of Q4, so we do cycle through that then. And as far as from a share gain perspective, relative to the growth that we're seeing within fast fashion, our growth levels are exceeding the end market. So, we are very confident we're taking share there. From a value perspective, we believe we're taking share within value and contemporary. So, department stores tough to read, as I commented on, the volumes there the trends that we're seeing are positive and audio gap] (22:45) we're seeing their performance in the marketplace. We believe we are now regaining share there. That was a space, if you recall, along with value, we were losing share on up until beginning late last year, if you will. So, we believe we're starting to shift the share mix overall for those businesses, but we'll have to see how their performance plays out here over the next couple of quarters.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Okay. Okay, that's helpful. And then, on the restructuring costs, the impact to EPS was lowered $0.20 to $0.15, but the savings remain the same. Can you just provide a little bit more color on that, why is the restructuring program going to cost less than originally anticipated or what's the progress there?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: There's a couple of things that we looked at. First of all, we went and really trued-up our estimates of these costs and so we saw some – we were a little conservative, so we trued that up, and we're seeing a little bit of favorability on that. And then, quite frankly, some of this just some of the timing of when the costs are actually going to be recorded or hit in the year, so some of that will have a little bit of the timing shift.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Okay. So, it gets pushed into 2017 or...?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Yeah, early 2017.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Okay. Okay. That's helpful. I'll turn it over.
Operator: Our next question comes from the line of Scott Louis Gaffner with Barclays Capital. Please go ahead.
Scott L. Gaffner - Barclays Capital, Inc.: Thanks. Good morning, Mitch and Cindy. How are you doing?
Mitchell R. Butier - President & Chief Operating Officer: Yeah, Scott.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Good morning.
Mitchell R. Butier - President & Chief Operating Officer: Thanks.
Scott L. Gaffner - Barclays Capital, Inc.: Mitch, I just wanted to focus again on Pressure-sensitive for a second, just given the margin performance in the quarter. Is it the margin profile of the products that you're selling in the emerging markets is pushing the margin here or is it the incremental margins on the 10% growth rate or how should we think about what was really pushing that incremental margin in 2Q?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, broad-based, it is not one specific item or theme here. I think the key thing, as I said, exceeded our expectations, even the high-end of our expectations for the quarter, the biggest single driver was the variable flow-through of the additional volume that we saw. The growth rate within PSM was above, if you will, the margin – I mean the guidance range we had for the whole business for the year, and it definitely was a little bit higher than we expected, particularly coming out of Europe. So that was a key driver overall, Scott, for the PSM performance in Q2.
Scott L. Gaffner - Barclays Capital, Inc.: Okay. And, Anne, I think you mentioned, though, that price cost was negative view, do you expect that to continue for a couple of quarters within the segment?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Yeah. So, we've been talking about this for – as you know, for a while. And over the cycle, you would normally see that you would see a negative impact of price, cost, and so we wanted to call that out that we are seeing a modest impact this quarter and you would expect to see, over a cycle, that that would continue.
Scott L. Gaffner - Barclays Capital, Inc.: Okay. And just on the growth in the business in the emerging markets, Mitch, you mentioned Southeast Asia, India, what are the product categories that are really growing? I mean, even in Latin America you had solid growth, is it more on variable information side of the business, is it on the Consumer Products side? Where are you seeing the growth, where is that coming from?
Mitchell R. Butier - President & Chief Operating Officer: It's broad-based, but just the whole – I mean, the economy in South Asia, both Southeast Asia as well as India, are doing quite well, and you continue to see expanded consumer spending. So it's Consumer Products linked as well as variable information labels as well, and it's very broad-based and, as I said, it's very healthy double-digit growth there. I just got back from a three-week trip over in Asia, and I'll tell you just when you're engaging with customers and so forth, they're quite optimistic about the prospects for their countries and their individual industries, and excited by what's going to come, and we are key partners for them, not only helping ourselves but helping them to grow and lead the market to a GDP-plus type of growth.
Scott L. Gaffner - Barclays Capital, Inc.: That's good to hear. Just one last one from me on RBIS, and I guess RFID in particular, I think you said that you expect it to be up 30% at the current run rate. How big would that make the RFID business for you if you actually achieve the 30% rate? And then, in addition to that, how have the recent rollouts have been going? Have you seen any customers interested in moving from test to broad-based rollout? Can you just give an update there? Thanks.
Mitchell R. Butier - President & Chief Operating Officer: Sure. So, the business after this year will be roughly $200 million for the full year, so pretty sizable relative to the total size of RBIS. And I think that's an important thing to point out, if you look at RFID in our external embellishment, it's roughly 15% of total RBIS right now, whereas it was 6% just five years ago. And so the whole theme we're talking about continuing to improve our portfolio mix and higher value product lines. It's a great example of what's going on within RBIS as well. So there's a number – we don't talk about specific customers within RFID, who's going to full rollout and so forth, but I will tell you the pipeline is rich. We've got about 90 customers in the total pipeline, a blend between those that are in full adoption, those that are in rollout, those that are in pilot, and those are at the very early stages of just evaluating the business case. So, continued to see great progress. And, as I said before, we do have the go-to team for the RFID adoption, and that's a leadership position we expect to maintain.
Scott L. Gaffner - Barclays Capital, Inc.: Thanks, Mitch.
Mitchell R. Butier - President & Chief Operating Officer: Thank you, Scott.
Operator: Our next question comes from the line of Christopher John Kapsch with BB&T Capital Markets. Please go ahead with your question.
Christopher J. Kapsch - BB&T Capital Markets: Yeah. Good morning. I had a couple of follow-ups. Just wondering, if you could explain, and why you suppose China was flat vis-à-vis the growth that you're seeing in other emerging markets. Is there a different competitive dynamic there versus other regions? I know Raflatac did add some capacity over there not too long ago.
Mitchell R. Butier - President & Chief Operating Officer: It's hard to pinpoint to any one thing. I'll tell you, when I was over there, speaking with customers, generally, they're talking about the challenge of just adjusting to a lower growth environment right now. We do expect this business to continue to grow and trying to be a mid-single-digit growth market, which we still consider a very healthy clip. And so, you're seeing a little bit of adjustment down from, I'd say that, industry used to growth closer to 10% and being mid-single-digits. Specifically, within the quarter, there's a number of puts and takes for being depressed down to the low-single-digits to roughly flat, but no key takeaways right now. And I will say, for our business, a single quarter being flat or growing a few percent, that can happen; our expectation here is mid-single-digits for China.
Christopher J. Kapsch - BB&T Capital Markets: Okay. And then just moving sort of western around the world to Europe. Just wondering, if – I mean the trends there have continued to – pretty buoyant considering what's gone on over there, and I'm just curious if there has been any change in those trends since the Brexit vote I guess around a month ago?
Mitchell R. Butier - President & Chief Operating Officer: It's actually too early to tell, overall, is what I'd say. Clearly, I think the broader question is just, what does it mean for the EU and so forth? But if you look at where we are, our market leadership position, regardless of market environment, we are well positioned for this and the UK business is just a little over $100 million worth of business, so relatively small in the grand scheme of things. Personally, think it's a little bit blown out of proportion, a little bit some of the market reaction initially with what we saw. But we're well positioned and, if there's some challenges in the marketplace, we're going to be looking to take advantage of those as the market leader.
Christopher J. Kapsch - BB&T Capital Markets: Okay. And if I could just follow up on this Pressure-sensitive segment margin topic, and I know you kind of had referred to first quarter performance, which was strong, as possibly approaching peak, and now we exceeded that performance by 60 basis points sequentially. And it sounds as though like mix is – obviously, operational excellence is contributing, but also mix with the growth that you've seen in international markets, which, I believe, are higher margin and obviously your emphasis on shifting towards the more value-added products. And it sounds like that's all going to continue, particularly with investment in accelerating the growth of those sorts of product lines. So just wondering given how well you are executing, and given the trajectory of those higher margin businesses, just what's maybe a more realistic longer-term margin expectation for this Pressure-sensitive segment as we continue to move forward here?
Mitchell R. Butier - President & Chief Operating Officer: So, we're not resetting margin targets right now. We've said that this business and the margins that we've had even 11%-plus, it's very healthy returns and our focus is again finding the right balance of top-line gross margins and capital efficiency to optimize EVA. So, we will be setting new targets when we come out. We're going to do an Investor Day. We're now planning for that to be in March, and we will send out a press release with the exact date here in due time, but that will be the time that we reset it. And again, I want to emphasize here, the previous targets we had, we clearly don't feel limited by those in anyway. We are going continue driving forward and finding that optimum balance. And we've, again, expanded margin by 300 basis points over the last few years. And remember, we've got questions about resetting target, beginning a year and a half ago, how we set them then, we'd probably be talking about should we be resetting them again right now given where our performance is. So, we are testing new heights and we'll continue to do so and we'll update everybody with our long-term expectations in March.
Christopher J. Kapsch - BB&T Capital Markets: Right. Well, and just one quick follow-up, and you'll continue to get the question until you do reset the margins I'm thinking, but the...
Mitchell R. Butier - President & Chief Operating Officer: Understood.
Christopher J. Kapsch - BB&T Capital Markets: ...just wondering – yeah – if you're – are you constrained – given the margin performance and how this business has done, are you constrained anywhere where you feel like you need to ramp-up capital in order to capitalize on growth in the Pressure-sensitive division?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. I wouldn't say constrained, but we have said that we are going to be increasing the pace of capital investment within this business. If you look at the growth rate, to your point, we do need to increase the pace of capital investment, that is something we would expect. If you look the long-term targets that we had laid out couple of years ago, it was roughly an average of a couple of hundred million dollars over the horizon. We haven't been on that pace until now, but we do expect to be ramping up here, specifically to capture profitable growth, to your point.
Christopher J. Kapsch - BB&T Capital Markets: Okay. Thanks. And kudos on the execution.
Mitchell R. Butier - President & Chief Operating Officer: Thank you.
Operator: Our next question comes from the line of George Leon Staphos with Bank of America Merrill Lynch. Please go ahead.
George Leon Staphos - Bank of America Merrill Lynch: Hi, everyone. Thanks for taking my question. Congratulations on the quarter.
Mitchell R. Butier - President & Chief Operating Officer: Hi, George.
George Leon Staphos - Bank of America Merrill Lynch: I guess the – how are you? Very good performance here. I guess the first question I had and we're beating the Pressure-sensitive margin question into the ground, but would you expect from the current level in the second quarter that you achieved that we should be seeing some flattening out from here seasonally, or is that getting too close for comfort and the commentary about 1Q being perhaps close to peak maybe – created more distraction needed to be and we should just let you run your business and wherever the margins come out, they come out?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Well, personally, I like that second option, but I guess I'll have to address the first question. So, look, as I talked about, even in last quarter's call and this quarter's call, we are hitting new heights as we talked about. We do have seasonality in this business. And I think you've seen that historically, traditionally Q4 in particular has quite a dip in margin when you look at the historical trend on this. I would say that, and as I mentioned, we also have the headwind of the Performance Tapes customer in the second half. So we – when you look at the high-end of the range, you would have to assume that we can largely sustain this and overcome some of these issues as well. But at the high-end, it's really sustaining this, but continuing through and overcoming some of the Performance Tapes customer loss.
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, George, just to reinforce what Anne said, we typically see a drop in Q4 by a full point and then we've talked about Tapes, the decline there on the volume side, well that is a high margin business and so that will have a pretty decent impact on the margins as well. And as Anne said, full range of our guidance, we think capture the full range of possible outcomes – not possible outcomes, but probable outcomes, and the high end has roughly a continuation excluding a little bit of the excess in Q2, a little bit of continuation of margin trends we saw in first half continuing into the second half with the normal seasonal drop and the impact of Performance Tapes.
George Leon Staphos - Bank of America Merrill Lynch: Okay. I appreciate that additional color, and that helps us here. If we talk about RFID, so I remember from the last quarter, you were expecting 20% growth thereabouts and now you're in excess of 30%. So, I think a lot of the answer here is in relation to what you're saying to, I think, Scott's question about RFID. But have you seen more customers coming to you for trials as the reason for the increase in the growth rate or has it been a greater amount of sale in existing trials that's been driving the increase in the guidance there for the full year, obviously you have tougher comps in the second half.
Mitchell R. Butier - President & Chief Operating Officer: Generally, the latter. So, it's an increase in sales to customers that are already in the process of rolling out. So, just being more aggressive, if you will, the customers and their rollout. So, that's been the primary driver. As far as customers switching into full adoption, if you will, or in the rollout, that's something that usually there is a pretty short lead-time from when that's announced and when we'll start sourcing that. So, the key question here – we talked a little bit about tough comps in Q4, the question here, will anybody else convert to that next level, which we've seen in the past as you know.
George Leon Staphos - Bank of America Merrill Lynch: Understood. The last question I had and I'll turn it over because most of my questions have already been asked. When we look at RBIS, and I think you said you are ultimately constructive or pleased with where the business is and I'm putting words in your mouth, so feel free to adapt as you need to. But when I look at the margin, where the margin dollars year-on-year being flat versus 2Q, in spite of the $60 million net benefit that that segment getting from restructuring and other performance improvements, are you really happy with that business? Should we assume that all of that benefit has been basically used to grow market share through pricing and other actions? And should we expect a continuation of the playbook and maybe even an intensification of the strategies in that playbook to ultimately try to grow volume and margin for the segment in the next 12 months to 18 months? Thanks, guys.
Mitchell R. Butier - President & Chief Operating Officer: Thank you, George. Yeah. So, just the comment around RBIS is we're pleased with progress we're making on the transformation, which we are very pleased with our growth that we're seeing in RFID, but that the growth – organic growth of 2%-plus in the quarter was short of our obviously long-term target that we have for this business. And while it is largely due to the softness in the apparel market, we're looking to grow this business 4% to 5% long-term. So, I would say that, we met our guidance expectations given what was going on in the apparel market. We're pleased with the progress the team is making on the transformation and we knew this was going to be a multi-year transformation as well. So, yes, there is more – we're continuing to focus on how can we get less complex, simpler, if you will, and more competitive across the entire customer base. So, this is something that we will continue to be focused on. And I think it's important as you step back, I mean, yes, the top line has been less consistent, if you will, but we have continued to grow this business over the last number of years. And regardless of market environment, we have consistently expanded margins over each of the years over the last five years. And that's something that we're going to continue to do regardless of the market environment, leveraging our strength in RFID and external embellishments, in our customer relationships across all market segments and are focused on productivity to get more competitive.
George Leon Staphos - Bank of America Merrill Lynch: Thank you.
Mitchell R. Butier - President & Chief Operating Officer: Thank you.
Operator: Our next question comes from the line of Jeffrey John Zekauskas with JPMorgan Securities. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi, thanks very much. I think you said early in the call that volume growth and pressure-sensitive was negative in North America in the quarter. My memory is maybe last year, it grew 4% or 5%, and in the first quarter grew 1% or 2%. Is there a change in trend there or is this quarter an anomaly, what's happening there?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: So, the trends – so we did have negative growth, slightly negative, in this quarter. I don't think we've said that this business has been 4% to 5%. I think even last year, we saw a bit of a modest improvement, low single-digit growth in this business. So, I think, within a band, if you look over the last several quarters, it's within a pretty tight band of where we're seeing this business. I don't think we're seeing dramatic changes in the marketplace.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. You said that there's now a little bit of raw material pressure. So, if raw materials are – I take it that they're going up or is it that prices are coming down? Where does the squeeze come from, on the price side or on the raw materials side?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, Jeff, we don't comment on the specific components. We talked about the modest net headwind, if you will, which is not exceptional by any stretch if you look at the long-term trajectory within the business. So, yes. So, overall, I think this message here is stable in general, stable on raw material inflation; that's the type of environment we're seeing. And we continue to see what you'd normally expect in a competitive industry like we're in on the top line.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. In terms of your upcoming acquisition, do you have all of the regulatory approvals for it?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, Jeff, just received word this morning actually that we received final regulatory approval, we expected that to come through, which is why we said we expect it to close in August, but that did actually come through this morning. So, we are still on track and expect to be closing here in the coming weeks.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Will RFID revenues be higher or lower in the second half than in the first half, given that you grew 50% in the second quarter and you expect to grow 30% for the year?
Mitchell R. Butier - President & Chief Operating Officer: They will be higher in the second half. Most of the growth will be in Q3 though, Q4 is particularly where the tough comps are. We still expect some modest growth in Q4, but it will be modest, unless another rollout starts, of course.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. And you said that in pressure-sensitive you had inflationary pricing in South America. Did that lead overall to positive pricing for pressure-sensitive in the quarter or negative pricing?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So, Jeff, in a number of markets, particularly Latin America, we do have, what we call, currency pricing. So, when the currencies move, because of the lot of the raw material input costs are coming from outside the region. So, it's not having a net positive impact overall in a sizable way to the bottom line; it's just more way to cover the input costs in local currency.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Great. Thank you so much.
Mitchell R. Butier - President & Chief Operating Officer: Thank you.
Operator: Our next question comes from the line of Rosemarie Morbelli with Gabelli & Company. Please go ahead.
Rosemarie Jeanne Morbelli - Gabelli & Company: Thank you, and good morning, everyone. I was...
Mitchell R. Butier - President & Chief Operating Officer: Good morning.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Good morning.
Rosemarie Jeanne Morbelli - Gabelli & Company: Most of my questions have been answered, but there is one little hole regarding Vancive. Could you give us a little more details on that particular business? Is that $1.6 million of EBIT sustainable over the balance of the year and then we start seeing the substantial margin improvement the next year?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. So that business we've been talking about being in a turnaround and some of the changes we started making mid-to-late last year around getting the top-line pipeline moving again. And so, to answer your question specifically, we don't expect the positive margins to stay at that level going into the second half; there will be some headwinds on that front. And also on the top line within that business, we expect to take us into 2017 to kind of see the reverse in this trajectory and the turnaround of that business.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: And just to add to that, we are expecting in the second half that we'll see declines in organic growth in this business.
Rosemarie Jeanne Morbelli - Gabelli & Company: And that is due to what?
Mitchell R. Butier - President & Chief Operating Officer: Sorry.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Sorry.
Rosemarie Jeanne Morbelli - Gabelli & Company: What would be the reason for the decline in organic growth, which is not particularly large to begin with?
Mitchell R. Butier - President & Chief Operating Officer: Yeah. Specifically, there is an inventory reduction that is expected with one particular customer for one of the core product lines in the second half.
Rosemarie Jeanne Morbelli - Gabelli & Company: Okay. And looking at RBIS, could you talk about the growth rate? If you eliminate the impact from RFID, what is RBIS all by itself doing or is that something you cannot separate?
Anne L. Bramman - Chief Financial Officer & Senior Vice President: So, what we said in earlier comments was that RFID drove the vast majority of the growth in RBIS to organic growth.
Mitchell R. Butier - President & Chief Operating Officer: And it was actually down modestly, excluding RFID, Rosemarie.
Rosemarie Jeanne Morbelli - Gabelli & Company: Thank you. And when you look at the customers or the garments that are using your products on RBIS. Can you separate – I mean, you talked about the, no growth or decline in department stores. But could you separate the high-end product garments versus the type of garments that will be sold at a Walmart, at a Target? Could you give us a feel as to what the industry is doing?
Mitchell R. Butier - President & Chief Operating Officer: Sure. Overall, and I think it's somewhat reflective of the types of garments, but with the exception of the impact of some inventory reductions that are impacting us in Q2 or impacted us in Q2, performance athletic, for example, high-value athletic garments have done and are expected to continue to do well. Fashion has done quite well in the market. So, that's a low-cost, high-churn, a lot of fashion elements, that has done well and is expected to continue to do well, which is one of the reasons why we are focusing on driving growth with that segment and taking share. Value continues to do well and value actually has a range of – value and contemporary, a full range of high-end garments and more discount garments. So, it's hard to call out specifically what's winning within that space overall. But I think, what you're seeing here is broad-based, the reason we talked about the department stores. Department stores are – a number of them having some challenges right now, and fast fashion is a particular growth driver within the industry.
Rosemarie Jeanne Morbelli - Gabelli & Company: Okay. Thank you very much.
Mitchell R. Butier - President & Chief Operating Officer: You're welcome.
Operator: We have a follow-up question from the line of George Leon Staphos with Bank of America Merrill Lynch. Please go ahead.
George Leon Staphos - Bank of America Merrill Lynch: Thanks, operator. Just last one, quick one, guys. As we think about the guidance for the year and it went up $0.05, which was basically what the variance was, round numbers. In the second quarter, which in turn was driven by pressure-sensitive materials. Now again I think some of the other analysts have asked the same question. There are lots of things that are going right for pressure-sensitive at the moment; the growth in emerging markets, the mix inherent in those markets and so on. And I recognize seasonally there should be some drop-off, but we wouldn't expect a significant one in the third quarter anyway, relative to second quarter, based on history. So, should we just very simply assume that the reason you only took your guidance up by the amount that you beat 2Q is that whatever you're seeing improvement in pressure-sensitive is being largely offset at this juncture by RBIS and Vancive the back half of the year? Or would there be any nuances around that? Thanks and good luck in the quarter, guys.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Great. So, in general, if you look at the range of the guidance, as we talked about earlier, you'd have to assume that you would have higher growth rates in the second half and that you would have to cover for some of the headwinds we've got for seasonality. And don't forget we've got the tapes customer business coming out, which is higher margin than the average for this segment and really is distorted to the second half as well, when we think about the impact of the business. So, you'd have to take into account the Vancive, the RBIS, and then the fact that we've got those headwinds. We also have a $0.02 headwind for FX that you'll see in the guidance as well.
George Leon Staphos - Bank of America Merrill Lynch: That's right. We've tried to account for that customer loss in PSM, but we'll go back to our spreadsheets on that. Again, thanks for all the color, guys. We'll talk to you soon.
Anne L. Bramman - Chief Financial Officer & Senior Vice President: Thank you.
Mitchell R. Butier - President & Chief Operating Officer: Thank you, George.
Operator: Mr. Butier, I will now turn the call back to you. Please continue with your presentation or closing remarks.
Mitchell R. Butier - President & Chief Operating Officer: Okay. Thank you. So, overall we're pleased with the quarter and pleased with the progress we're making across both of our strategic and financial priorities. We remain committed to achieving our long-term targets by driving accelerated growth in our high value segments and continuing to leverage our strength traditionally in productivity to ensure we continue to have healthy returns and expanding margins across all product categories. And I want to thank the leadership team, employees everywhere for their hard work, creativity and commitment to our success. So, thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.